Operator: Greetings and welcome to the Diversified Energy Third Quarter 2025 Results Earnings Call. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce Douglas Kris, Senior Vice President, Investor Relations and Corporate Communications. Thank you. You may begin.
Douglas Kris: Good morning and thank you all for joining us today and welcome to our Third Quarter 2025 Results Conference Call. With me today are Diversified's Founder and CEO, Rusty Hutson; and President and CFO, Brad Gray. Before we get started, I will remind everyone that the remarks on this call reflect the financial and operational outlook as of today, November 4, 2025. These outlooks entail assumptions and expectations that involve risks and uncertainties. A discussion of these risks can be found in our regulatory filings. During this call, we also reference certain non-GAAP and non-IFRS financial measures. Our disclosures regarding these items are found in our earnings materials, on our website and in our regulatory filings. I will now turn the call over to Rusty.
Robert Hutson: Thank you, Doug, and thank you all for joining the call today. As the Founder and CEO of our company; I'm extremely proud of the business we have built, the capabilities of our team of professionals, the quality of our assets and the strength of our business model. I'm also excited for the future of Diversified Energy. Our company is well positioned as a consolidator of choice for PDP assets. We have established tremendous momentum over the past 12 months. We have significantly increased the scale and capabilities of our company. Our cash flow is strong, our balance sheet is secure, our assets are performing, our business model is proven and we have access to capital. Our teams continue to deliver results and innovative solutions while also giving back and serving those in need in our communities. We also developed a winning language that highlights the culture of our company. One part of our winning language is be where your feet are, which emphasizes a focus on relentless execution. I'm pleased to say that in 2025 and specifically in the third quarter, our teams delivered and delivered in a big way. So I'm pleased and excited for Brad and I to share the terrific results our teams delivered in the third quarter. Our company continues to be a unique, but consistent investment opportunity. Our business model focuses on optimizing cash flow from our portfolio of low-decline energy assets. We complement this foundational business model with growth from strategic acquisitions and disciplined capital allocation. Importantly, we continue to illustrate our differentiated positioning as a triple thread and this triple thread is that Diversified Energy offers investors elements of value, growth and yield. This balanced approach provides confidence and stability across market cycles. I mentioned the strength and consistency of our business model in my earlier remarks. Our company and our assets have and continue to produce a consistent stream of cash flow. We still believe in the value of real tangible cash flow and we continue to believe that companies that produce cash flow for their investors are valuable and investable. We all see the valuations that are being placed on companies in technology, some of which have 0 revenue and others that have significantly less cash flow than Diversified. Over the long term we believe that markets will return to investing in companies that produce cash flow. I want to highlight and emphasize that we have significantly transformed and strengthened our company in 2025 with the acquisitions of Maverick Natural Resources and most recently Canvas Energy, which is anticipated to close prior to December. Our acquisition-driven growth strategy continues to demonstrate how a material change in scale can unlock operational leverage enabling us to deliver robust cash flows and create long-term value for shareholders. This value creation is reflected in our year-over-year growth in EBITDA and cash flow, which nearly doubled. Additionally, our increased guidance following 2 strong quarters with Maverick and ongoing portfolio optimization underscores our disciplined focus on driving efficiencies through our tested asset integration playbook. I want to commend the efforts of our employees. Their hard work and determination allow us to deliver outstanding results and live by our culture of GSD, which stands for get stuff done. Our team has positioned Diversified for an exciting future. I'm confident we will continue to deliver compelling operational and financial results. While the market for oil and natural gas producers has remained dynamic throughout 2025, we have a foundational belief that if it's challenging, there is opportunity. For those of you following along with our third quarter 2025 results slide deck, which we posted to our IR website last night, I will cover a few slides and then turn the call over to Brad to discuss highlights from our financial results. After Brad's remarks, I will provide some closing thoughts before opening the call for your questions. Starting on Slide 3. We continue to focus our capital allocation strategy around our 4 key pillars that are deliverables to judge us by: systematic debt reduction, return of capital through dividend distributions and share repurchases and growing our portfolio of cash generating assets through accretive strategic acquisitions. As you can see here, we have built on these pillars in 2025. In the first 3 quarters of 2025, we reduced debt principal by approximately $203 million and returned approximately $146 million to shareholders through dividends and strategic share repurchases representing approximately 15% of our current market capitalization. Worth noting, we have demonstrated a track record of disciplined capital allocation with approximately $2.2 billion in shareholder returns and debt principal repayments since our IPO in 2017. As the founder of our company, this impressive ability to generate cash flow not only makes me proud, but it also excites me about our future. Importantly, we believe our shares remain a compelling investment at current levels and we will continue to take advantage of the current cycle and market dislocation to opportunistically repurchase shares. Together, these actions demonstrate the power of our disciplined and flexible capital allocation strategy and the quality and consistency of our portfolio of cash generating assets. Our team accomplished all of this while integrating our transformational Maverick acquisition. We sit today with both the field level and corporate level processes fully integrated on time and on schedule. With a line of sight to additional synergy capture following our closing of Canvas Energy, we are well positioned to continue to be a market leader in consistently returning capital to shareholders. We continue to demonstrate that Diversified is a disciplined company that invests in cash generating assets in the energy industry and we will remain focused on our key strategic pillars. Turning to Slide 4. As we officially announced in early October, we are moving our primary equity listing to the New York Stock Exchange, redomiciling to a U.S. corporate entity and will change our financial reporting to SEC and GAAP compliant filings. We believe these steps will provide strategic capital markets benefits for all shareholders regardless of geography. We will also retain an international listing and continue to trade on the London Stock Exchange. Importantly, this change is expected to enhance trading liquidity, increase exposure to the deeper capital pool of U.S. investors and facilitate new passive investment through indexation and ETF ownership. As a notable reference point, since the company executed the initial dual listing approximately 20 months ago, we have seen an almost 400% increase in daily trading volume and an expansion in U.S. ownership to over 65% of shares outstanding. The work streams continue to progress and currently anticipate the New York Stock Exchange primary listing to commence trading on November 24. Turning to Slide 5. I was pleased to have the opportunity to work in partnership with the Governor of West Virginia to launch a first of its kind agreement that provides additional financial assurance for the retirement of effectively all Diversified wells in the State of West Virginia. This innovative public-private partnership with our insurance partner, OneNexus, is a secure dedicated fund that establishes a common sense solution and a new standard for operators, which I anticipate will be a blueprint for others to follow. Perspective and approach is the solution for our industry and we need to continue to focus on solutions at work. Several of the highlights and administrative mechanics of the fund are listed here. The $70 million investment over 20 years utilizes the power of investment compounding over several decades to increase the funds to a potential of approximately $650 million, which has the capacity to fund the retirement of all of the approximately 21,000 Diversified wells in West Virginia and represents approximately 30% of our balance sheet liability. We intend to continue to have our next level well retirement group safely and cost effectively retire our wells along with the wells of other operators and for the State of West Virginia. And with this agreement in place, we intend to grow that subsidiary in a meaningful way. Turning to Slide 6. Diversified has developed a disciplined acquisition framework, which we utilize to analyze and evaluate deals. Because we operate with size and scale in multiple basins across the United States, our company has optionality to participate in significantly more acquisition opportunities or not to participate in overvalued sale processes ensuring we are buying attractively valued assets that fit into our business model and not reaching on valuation or strategic fit. This disciplined approach and valuable flexibility is a linchpin of our capital allocation strategy. The recently announced Canvas acquisition is a perfect example of an in-basin opportunity that checks all the boxes with multiple avenues for upside that were not underwritten in our valuation, including strategically monetizing undeveloped acreage, implementing targeted synergies and/or exploring joint development agreements to accelerate additional value creation. This simple yet elegant strategy of acquiring assets at attractive valuations using low cost investment-grade financing allows us to capture a profit spread and with our operational excellence and portfolio optimization, improve our return on investment. With this playbook, we are building a resilient platform of cash flow-generating assets. Turning to Slide 7. Our stewardship operating model is supported by our long-tested Smarter Asset Management practices, which optimize the cash flow from the assets we acquire through production optimization and expense efficiency. A great illustration of our field team's efforts is the Fallowfield Compressor Station where our Appalachian team identified, acquired and integrated an underutilized and underperforming compression asset. Notably, with this opportunity, they were able to eliminate compression fees, improve production volume meaningfully, add third-party volumes and increase revenue while laying the groundwork for coal mine methane environmental credits. This project is a textbook example of the value our teams deliver every single day with our Smarter Asset Management focus. As we are fond of saying the assets we acquire are not bad assets, they just lack focus. This margin enhancement cash generating example demonstrates our focus on optimizing and increasing returns from our portfolio of assets. Our daily priorities require us to look for, find and execute activities that enhance margins. Our daily priorities drive additional cash flow and long-term value for shareholders. Our daily priorities; which are safety, production, efficiency and enjoyment; are unique to Diversified and are enabling us to continue to generate resilient, consistent free cash flow. With that, I'll turn the call over to Brad to discuss our financial performance and portfolio optimization results in greater detail.
Bradley Gray: Thank you, Rusty. I share Rusty's excitement for Diversified's future and my confidence in our teams, in our assets and in our ability to generate consistent reliable cash flow has never been higher. We'll now turn to Slide 8. Before sharing the highlights of our financial and operational results for the third quarter, I would like to focus on the right side of the slide. This presentation very simply illustrates how our accretive growth of cash generating energy assets paired with best-in-class operational and corporate infrastructure translates into material bottom line growth. For the third quarter starting with production, the daily production exit rate for September was approximately 1.14 Bcf per day and our quarterly production averaged over 1.13 Bcf per day. Approximately 65% of our produced volumes were generated in our Central region. The growth in our low-decline resilient production base has put the company in a great position to participate in LNG exports, data center energy demand and benefit from the growing demand for our products while continuing to supply energy to our local communities and commercial customers. Total revenue was approximately $500 million and our adjusted EBITDA was $286 million for the third quarter with an EBITDA margin of 66%. Our third quarter adjusted EBITDA was a record for our company. And as the 1 member of our leadership team that joined Rusty before our public offering, I'm very proud of the quality and scale of the company we have built. As we continue our integration processes and improve the combined company cost structure, we anticipate that we will be able to maintain our historical approximately 50% cash margins. Notably, our portfolio optimization processes in the third quarter allowed us to generate approximately $74 million in additional cash proceeds. The quarter's free cash flow was $144 million, which is burdened by approximately $9 million of nonrecurring and transaction cost. Our net debt stood at approximately $2.5 billion for the quarter and we improved our overall leverage by 20% since year-end 2024 achieving a leverage ratio within our target level of 2x to 2.5x net debt to EBITDA. And with over $400 million in liquidity, our balance sheet strength is giving us the optionality and flexibility to navigate and potentially take advantage of volatile markets and commodity price cycles. Additionally, our investment grade rated nonrecourse stable ABS notes helped to contribute to our financial resilience and ensure that we maintain our discipline to consistently reduce outstanding debt. In summary, our team's strong execution of our strategy to acquire stable consistent cash generating energy assets enabled strong free cash flow generation and allowed us to continue to prioritize returning capital to shareholders and paying down debt. Now turning to Slide 9. Active portfolio optimization is a continuous evaluation and execution process that we undertake with our dedicated and skilled team of professionals. Since 2023, we have taken advantage of increasing opportunities to monetize the large inventory of undeveloped acreage that we have accumulated, which notably we ascribed 0 value as part of our acquisition processes. We utilize our deep operator relationships and our market experience to generate additional extremely high margin unlevered free cash flow to deploy toward value-creating opportunities within our capital allocation framework. In fact year-to-date, we have generated approximately $143 million in divestment proceeds and we've repositioned that cash for strategic share repurchases and 2 highly accretive acquisitions while we've also meaningfully lowered leverage. Collectively, these opportunities provide cash generating levers to ultimately grow our business and bring forward the hidden or unrealized value of our assets. By reallocating the cash flow from our portfolio optimization programs, we can also support and do support superior shareholder returns. Turning to Slide 10 now. One of the main benefits of our 2025 Maverick acquisition is that we have created multiple drivers of cash flow generation and growth. Our expanded asset portfolio benefits from a low-decline production profile, commodity diversification, a disciplined hedging program and the potential for additional upside from anticipated operational and administrative synergies. The chart on the bottom of this page highlights the impact of our meaningful expanded asset portfolio and we have delivered both sequential and year-over-year growth in free cash flow. Turning to Slide 11. Translating these results into comparable data points, you can clearly see that Diversified is a leader in return of cash to shareholders not only with a fixed dividend comparable to yield focused energy sectors, but also through the deployment of strategic share repurchases that outpaces other E&P peers. And since our IPO, we have returned approximately $2.2 billion in shareholder returns and debt payments, which shows the strength of our strategy to acquire cash generating assets and to operate them with excellence. These shareholder returns show our commitment to create value. However, we do believe the current share price does not reflect these attributes and is not adequately valuing the strength of our business model to generate real cash flow. We believe our shares remain undervalued impacted by macro headwinds, including allocation of investment funds to extremely high valued companies. And over the past 5 years, we have delivered a 310% EBITDA growth averaging over 60% annually. Based on historical EV to EBITDA multiples and peer comparisons, our valuations suggest meaningful upside potential. And with our primary listing on the New York Stock Exchange and full SEC reporting, we believe we are at an inflection point and with these needed catalysts positioning our shares for a re-rating that could drive a significant increase in share price. Now turning to Slide 12. We continue to maintain momentum into the second half of the year and with the completion of the Maverick integration, we have increased financial guidance 7% on adjusted EBITDA and 5% on adjusted free cash flow. Importantly, we anticipate generating between $900 million to $925 million in adjusted EBITDA and more than $440 million in adjusted free cash flow. Pro forma for the full year of Maverick, we would have delivered over $1 billion of adjusted EBITDA, which is a phenomenal achievement for our company. The company is positioned on a path that creates a unique and compelling investment opportunity. We are very pleased with how the year has progressed and we are confident in our ability to execute at a high level for the balance of the year and beyond. And to wrap up my comments, I want to say thank you to all of our teams for their excellent work this year and this quarter. Our company is well positioned to grow and generate consistent cash flow for our shareholders. This positioning of strength is due to hard and smart work from our skilled team of professionals. I'll now turn the call over to Rusty for some final thoughts.
Robert Hutson: Thanks, Brad. Before we take questions, I want to provide some final thoughts on why we believe our successful strategy investment attributes will allow us to rise to the top of the list of peers within the Russell 3000 Index. On Slide 13, we continue to emphasize we are a differentiated energy producer that seeks to optimize existing long life and often overlooked and undervalued cash generating U.S. energy assets. We maximize value in a unique way by minimizing traditional E&P risks, growing our revenue streams, optimizing our asset portfolio and being good stewards of our capital by generating real consistent meaningful cash flow. For this slide, we are highlighting and emphasizing that Diversified offers unique investment attributes, which we believe make us a compelling addition to any portfolio especially those benchmarked to the Russell 2000 or 3000. With our large operational scale, vertical integration and corporate infrastructure that leverages a leading technology platform, we know how to grow and we know how to drive value from growth. We have executed this ability over 30 times over the past 8 years. Out of a list of 3,000 small cap companies; our business strategy, our ability to generate real and consistent cash flow and our commitment to shareholder returns makes us a company that is investable. Additionally, we believe the triple thread of attractive investment attributes are as follows: as a value stock that trades at an attractive 3.8 EV to EBITDA, as a growth stock with attractive top line revenue growth of 80% year-over-year and bottom line free cash flow growth of over 150% year-over-year and as an income stock with an attractive current dividend yield of approximately 9%. We believe the anticipated structural trading and listing changes are an additional meaningful catalyst to drive renewed investment from investors and a strong addition to any portfolio. We have been steadfast in executing our strategy since our IPO driving strong financial and operational performance. The right company, right time mindset for the type of assets we manage delivers consistent free cash flow and returns to shareholders and serves a fundamental role in sustaining the U.S. energy markets. Before I turn the call over to the operator for Q&A, I'd like to again recognize our employees for their outstanding achievements and contributions this quarter and this year. Without their focus, commitment and excellent teamwork in the field and in the corporate office, these results would not be achievable. With that, I'd like to turn it over to the operator for the Q&A portion of today's call. Operator?
Operator: [Operator Instructions] Your first question comes from Tim Rezvan with KeyBanc Capital Markets.
Timothy Rezvan: I wanted to start either for Rusty or Brad. You highlighted leverage now in that target range of 2x to 2.5x. So it gives you a little more optionality going forward. So when you think about uses of free cash flow at this point, is it safe to say that you're really fans of the repurchases where shares are trading or do you think at all about keeping some liquidity aside for maybe investing in the equity portion of future ABS deals that you do with Carlyle? I'm just trying to understand kind of the uses of free cash flow and if that at all is a consideration on future M&A.
Robert Hutson: Thank you, Tim, for that question. I think it really comes down to what's the best use of cash at the appropriate time. And right now we have a lot of liquidity, we have $400-and-some million of liquidity. We've made it very clear that our shares are significantly undervalued. So that's an option obviously. Transactions and growth in the business is another option. So we're always highly focused. We kind of have an understanding of our needs over the next short term and kind of how we want to play our cash outlays. But it's always going to be focused on what's the best return for our shareholders at that time. And so I think right now we obviously are very disappointed on where the shares are trading and we think that it's very undervalued. So you could see us, I would say, put that cash to work there for the immediate time. And then obviously growth is always on our calendar and on our horizon. Brad, I don't know if you wanted to add anything there.
Bradley Gray: I agree with Rusty's comments. We have grown the business significantly and we have the Canvas Energy acquisition closing coming up here towards the end of the month and so we'll be using some of that liquidity in that transaction as well. But yes, the valuation on our shares right now, as we said in our comments, we don't think is reflecting the value that we've built in this company.
Timothy Rezvan: Okay. I appreciate that. And then switching gears a little bit on the second question. I wanted to ask about this Mountain State Plugging Fund. The release came out a month ago, but it seems like a pretty transformational event. I think you used the phrase a blueprint for other states. So can you talk, Rusty, about any conversations you're having with other states? Is it your hope that this can be replicated across your Appalachia footprint? Is this something that maybe is easier to get in a red state versus a blue state? Just kind of curious on how we should think about that growing because that has been a big concern for investors and you've been on your front foot addressing it. So just trying to understand sort of the next steps on that process.
Robert Hutson: Yes, sure. I think I explained it to our governor, the Governor in West Virginia, and he actually said this during his remarks. It's a win-win for the industry and for the state of West Virginia because we came up with a practical common sense solution for something that's always been out there that nobody has really wanted to address. And so for us to be able to say, look, every well in the state of West Virginia will have a financial assurance of being retired over a long period of time, which we don't want to retire these wells. We're producing them right now. And I said this also, Tim, is that even if every dollar was available right now to plug every well in the country or even in the State of West Virginia or any state, it would still take over 100 years to plug them all just simply because of the capacity. We represent 40% of the plugging capacity in the Appalachian Basin right now and we're doing everything we can do with the resources we have and we would not even come close to plugging all the wells in the State of West Virginia in 100 years. It's just not doable from a time perspective, weather perspective and all that. So this is a meaningful way of taking care of a retirement obligation and we believe that the other states, especially in Appalachia, should take notice. We obviously want to enter into arrangements like this, but we just covered 30% of our asset retirement obligation in that 1 transaction. Think about if we did a state like Pennsylvania, we'd be at 60% of our total asset retirement obligation. So these are meaningful transactions. They're common sense. They're win-wins for the state and the regulatory agencies and the company. And I, for the life of me, don't understand why this hasn't been more of a precedent in prior years, but we're going to make it a precedent for our company and we're hopeful and the Governor of West Virginia said this, he's hopeful that other operators will step up and do the same thing.
Operator: Next question, Charles Meade with Johnson Rice & Company.
Charles Meade: I wanted to ask a question about what you're seeing in the ABS market. It's been in the news a little bit I think probably pretty far afield from you guys. But I think there's a lot of us on this call that we're still coming up to speed and learning the nuances of the ABS market. So I wonder if you could talk about if you're seeing any changes in the availability appetite, cost of capital in that market.
Robert Hutson: I'm going to let Brad answer this question. I'm just going to say this. The ABS market, now we've been doing this since 2019 I believe. That was the first time that we deployed capital through an ABS transaction. It's a great product for us because of the type of assets we have; long life, low-decline, very predictable type production and cash flows. It has become more and more popular as you've seen throughout the industry, but the access to that capital is still very -- or I should say the appetite for it is high. And we do a lot of meetings and conferences around this. Brad and his team do a great job of getting us in a place to do these transactions. But the low cost of capital helps us in being able to bid on our transactions. But Brad, you can speak to the overall appetite for this at this point.
Bradley Gray: Yes. So Rusty mentioned that we did our first ABS in 2019 and so similar to the Mountain State Plugging Fund, we did the first operated ABS in the industry. So we're proud of that and we have seen the industry from a PDP perspective follow utilizing that source of financing. Our business model and the success of our business model is really built on 3 things. One is acquiring assets at attractive valuations. Two, utilizing low cost of capital to finance that growth. And then three, having the operational excellence. And so from an ABS perspective, we do believe that that does provide us with a low cost of capital. The other thing, and we said this in our comments, is it allows us to have a disciplined approach to delevering the balance sheet and not creating future problems for our shareholders. And so with that structured amortization built into the ABS notes, we believe that's positive. Charles, what I would tell you is the depth of this market is vast. Private debt and private debt capital is very deep in the United States. This asset class investors, primarily insurance companies, have become very comfortable with investing in this asset class. It matches up well with their maturity schedules and how they like to match assets and liabilities. And Diversified has been the company that's issued the most in the industry. So the last thing I would say is a differentiator for us is that not only have we built a solid reputation as a quality issuer, but when you match that with being a quality operator, the investors in these notes really like that. There are other companies that have issued ABS notes that are likely doing it for different reasons than just financing the business and growth and so that can create challenges. But overall, the market is deep and we think it's a good option for us with the type of assets we have.
Charles Meade: Got it. That is helpful color. And then my follow-up, I wanted to ask if you could give us any update or characterize the drilling or the joint development agreements you guys have in some of your Western Anadarko assets, if anything happened in 3Q that's notable on that front? And if you see some potential for either expanding or having a new JDA once you close Canvas on those assets?
Robert Hutson: Yes. I think that the joint development that we have going on right now in the Cherokee Basin in Oklahoma with a very established and reputable drilling company, we love those returns. Those returns in that have been tremendous. We've been 35% I believe on average and no working interest held. IRRs are through the roof. And so those assets have been tremendous for us. It's been steady as you go. I mean every year at the beginning of the year, they've given us a drilling schedule and they've stuck to it and that's been a big win for us. But nothing out of the ordinary other than just par for the course. We're moving forward with them on a quarterly basis and we're seeing great results. Obviously through our portfolio optimization plans programs, we are always evaluating our acreage both in the Permian and in Oklahoma and in other areas now and there could be more for that in the future as we talk more about the Appalachian Basin. But I think that what we're seeing right now is that we've looked at all of our acreage. We're high grading it in terms of what we want to participate in alongside a good partner and then what we want to divest. And you could see other JDAs come to the forefront in the future maybe in the Permian or in the Oklahoma area as we evaluate and kind of summarize what we want to participate alongside somebody else in. And this acreage, I'm just telling you, it's valuable. We've gotten a lot of inquiries around our acreage both in Oklahoma and in the Permian and really has been kind of an eye opener for us. But we want to make sure that we're being very selective on how we manage through that and get the best value we can to the company and to our shareholders.
Operator: Next question, Tim Hurst-Brown with Tennyson Securities.
Tim Hurst-Brown: I just had 1 quick follow-up on the plugging fund. So I think, Rusty, you said that West Virginia represents 30% of the group's discounted ARO of $883 million. I'm just wondering whether we should expect some adjustment to that ARO figure in the Q4 to reflect the deal you've done with West Virginia.
Bradley Gray: Tim, this is Brad. I'll take that. The current accounting guidance -- under the current accounting guidance, we will not be making an adjustment in that discounted ARO on our balance sheet. We will be adding an asset as we grow this and invest this $70 million over time and that will grow and compound over time as well. But effectively, one of the items that we've discussed since we started this roll-up strategy is the concern around the asset retirement obligation and how is the company going to meet that obligation. And so with this Plugging Fund, we have set in motion the offset of that liability. And as Rusty indicated, this is the common sense patient solution that will provide the funding to meet the needs of those retirement obligations. So the way I look at it is I take that liability on our balance sheet and I say okay, we've accounted for and taken care of 25% to 30% of that liability, now on to the next one. So it will take time, but that's fine.
Robert Hutson: But don't let the accounting rules be mistaken for addressing the liability because this is a -- as Brad said, this addresses the liability on those wells in West Virginia. It doesn't mean that the accounting is going to match up in terms of offsetting the liability on the balance sheet. There will be an asset that's built up over time. But this is a -- utilizing this insurance product, it does address the liability for the long term and that's what we were more focused on rather than the accounting around it.
Bradley Gray: And Tim, one other way that you can look at this fund just structurally is just think of it like a long-term pension obligation or any type of long-term obligation. I mean that's what we're funding it with today's dollars so that future obligations can be funded.
Operator: Next question, Paul Diamond with Citi.
Paul Diamond: Just wanted to talk a quick bit about the portfolio optimization. Can you talk about the cadence or timing go forward in these efforts? Is it something we should think about annualized an average number or more of they just kind of spot transaction when they come, they come?
Bradley Gray: Paul, thanks for your question. We actually have a slide in our investor presentation that highlights the success of that portfolio optimization program over the last several years and we've produced some real cash flow. And we do think, as Rusty indicated, that there are some opportunities that we've got good visibility and line of sight into the continued success with those programs with the assets that we've acquired and acreage positions that we've acquired. It's difficult on a quarterly basis to kind of plan out what those would be. However, what I would say is on an annual basis, we believe that for the foreseeable future, a $40 million to $50 million baseline level of revenue from these type of programs is achievable. And then where we have opportunities to improve on that, we will through the evaluation processes that Rusty indicated. But on from a go-forward basis, we believe that $40 million to $50 million is an appropriate way to look at the business.
Robert Hutson: And Paul, the other thing about that is is that cash that's generated off those sales gives us some flexibility around some of the pillars that we talked about; the share repurchases, the ability to grow the business, utilizing cash whether it be with the Carlyle transactions and the equity portion of those transactions or lowering leverage. And so it just gives us added flexibility that we didn't pay for and I keep saying that because it's key. We did not pay for these undeveloped value transactions that we're getting. So I just want to make that clear.
Paul Diamond: Understood. Appreciate the clarity. And just a quick follow-up. On the other side of the portfolio optimization efforts, you guys have the Appalachian Compressor Station. Can you talk about whether, I guess, are those more spot or those one-off or should we expect more of a trend of kind of those small ball acquisition infrastructure type of things rolling up?
Bradley Gray: Well, Paul, I would say that it's definitely not a one-off because our teams have been doing it now for 8-plus years. And that is the -- as Rusty said, it's a textbook example of our Smarter Asset Management program. And so when you have an empowered and authorized workforce looking for ways to succeed on our daily priorities of production efficiency and safety, that's what we get. And so this was an asset that was run by another operator that was not core to them. It was core to us. It was more valuable to us. We made a good deal on it and we're leveraging a significant return on that acquisition we made of that facility. So we're constantly looking for those opportunities. I mean just going back to the second quarter, we highlighted a pipeline system that we acquired out in Western Oklahoma that allowed us to return numerous wells back to production and we eliminated significant amount of compression cost by being able to utilize centralized compression versus wellhead compression. So these are -- again it's just an example of what we do on a daily basis.
Operator: Next question, Tim Moore with Clear Street.
Timothy Michael Moore: Congratulations on the quarter. My first question is to offset the maturity decline curve besides your acquisition strategy edge. Can you maybe give us a sneak peek or a sense of maybe next year's workover count, the initial plan there? Do you think it will be a higher count than this year?
Bradley Gray: We'll look to provide some guidance as we move into the first quarter and we get our Canvas Energy acquisition completed and then that will have some capital guidance for next year. What I can tell you is that our teams have already gone through a process to high grade projects, to build a portfolio of projects that they will rank and then commodity prices will have some impact on that I'm sure. But I would look towards the first quarter when we release our year-end results to provide some more clarity and guidance on that.
Timothy Michael Moore: Understood. And my second question, it relates to kind of the cost synergies being implemented at Maverick, the timing of that. I'm just wondering Canvas is obviously a much smaller acquisition, there's some synergies integration there. I'm just trying to get a better sense of maybe how you think about downtime between medium-sized acquisitions not just tiny small ones. I mean you did Summit in East Texas pretty quickly for integration before Maverick and then Crescent Pass right after Oaktree. Do you think about a minimum gap of months for some of these bigger ones acquisitions just to implement best practices or do you have a team in place now big enough to kind of tackle a couple of ones?
Robert Hutson: Well, I think your final comment there kind of relates to the way we look at it. We've got a tremendous team that has done this so many times and it's all about people and processes and making sure that you take care of the people and then into the processes. And our guys know how to do these things and so there are steps that they do, they go through the process. We kind of have a plan as to how long it takes to do each one of those processes. But our technology teams, our field operations, all the way; they all know how to manage these integrations and so it's really incredible. When you look at Maverick and the size and scale of that transaction for us to be able to get it completely integrated within 5, 6 months, I mean that's tremendous. And we're sitting here today, we're going to reap the benefits of those synergies a lot faster than we originally anticipated because we were able to integrate it so fast. And so it's really about the people and the processes and the ability to deploy that technology and the platform that we've built to integrate these things in a speedily way. I don't know if you want to add anything.
Bradley Gray: Just 1 quick item. Our CIO, David Myers, would be disappointed if I didn't say this. But as Rusty said, people, process and systems. And that's what we're focused on and committed to is making sure that we've got the right people on the team, then the right business processes of which we can apply our technology and our systems too.
Timothy Michael Moore: That's terrific color, Rusty and Brad, and definitely speaks to your capability to tackle more acquisitions in the near term. Thanks a lot. That took care of my questions.
Operator: Thank you. I would like to turn the floor over to Rusty for closing remarks.
Robert Hutson: Well, thank you all for attending today and we look forward to wrapping up the year and meeting again with you in the first quarter to talk about the year-end results. Thank you and have a great day.
Operator: This concludes today's teleconference. You may disconnect your lines at this time and thank you for your participation.